Operator: Good day, and welcome to Green Thumb Industries Second Quarter 2025 Earnings Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Shay Caplice, Director of Communications for Green Thumb. Please go ahead.
Shay Caplice: Thank you, Debbie. Good afternoon, and welcome to Green Thumb's Second Quarter 2025 Earnings Call. I'm here today with Founder and CEO, Ben Kovler; President, Anthony Georgiadis; and Chief Financial Officer, Matt Faulkner. Today's discussions and responses to questions may include forward-looking statements, which are subject to various risks and uncertainties that could cause our actual results to differ materially from these statements. These risks and uncertainties are detailed in the earnings press release issued today, along with the reports filed with the United States Securities and Exchange Commission and Canadian securities regulators, including our most recent annual report filed on Form 10-K. This report, along with today's earnings release, can be found under the Investors section of our website. Green Thumb assumes no obligation to update or revise any forward-looking statements to reflect events or circumstances that may arise after the date of this call. Throughout the discussion, Green Thumb will refer to non-GAAP financial measures, including EBITDA and adjusted EBITDA. A reconciliation of non-GAAP financial measures to the most directly comparable GAAP measures is included in our earnings press release and SEC and SEDAR+ filings. Please note that all financial information is provided in U.S. dollars unless otherwise indicated. Thanks, everyone. And now here's Ben.
Benjamin Kovler: Thank you, Shay. Good afternoon, everyone, and thank you for joining our second quarter 2025 conference call. On a macro level, THC demand and consumption remain at all-time highs. Our brands, including Rythm, Dogwalkers and incredibles are showing real strength along with record awareness as we increase their brand power and introduce the brand lifestyle to more Americans. However, lack of clarity on policy, hemp confusion and lack of institutional investment has made the sector challenging. You would think that an industry doing more than $35 billion in sales in 2025 that is fueled entirely by domestic demand, employing more than 420,000 Americans full time and producing goods cultivated exclusively in the United States would receive more love from Washington. Cannabis companies are about as close as you can get to Trump's America First agenda. Green Thumb continues to actively advocate for federal regulatory change and with this precedent, anything is possible. So as you've heard me say many times, our approach has been to tune out the noise and focus on what we can control. Our second quarter performance reflects that our entire team is on the same page in doing just that and delivering strong results despite persistent price compression across certain key markets. Q2 revenue was $293 million, a 5% gain over the comparable period. Adjusted EBITDA was $83 million or 28% of revenue, and our second quarter cash flow from operations was $56 million. Of note, we also bought back 5.6 million shares for $24 million, which is an average cost of $4.28 per share. By now, most of you know the foundational values that have been our North Star since we started Green Thumb 10 years ago. Cash is king, high conviction capital allocation, strong balance sheet and outstanding execution. Along the way, we've built an amazing portfolio of brands, Rythm, incredibles, Beboe, Dogwalkers Rise, and we believe we've only scratched the surface of their opportunity. So for now, our main focus continues to be unlocking the potential of our brand currency in the market, and that plan is well underway. First, we have a deep understanding of the consumer relationship to cannabis, and we are successfully leveraging that insight to connect consumers to our brands through experiences that foster connection, create buzz, build loyalty and strengthen our market position. In Q2, we kicked off our 3 city series of the Rythm Bud Balls with events in New York, Philadelphia and Chicago. For the fifth year in a row, Bud Ball celebrates the cannabis professionals who fuel the industry every day while showcasing what it really means to live the Rythm lifestyle. I want to give a huge thanks to our team for all the hard work they put in to bring these events to life. Next up is the Miracle in Mundeleine on September 6 and 7. Tickets are selling fast for our third annual music festival presented by Rythm alongside partners, including Rise dispensaries and Señorita THC Margaritas. The festival features on-site cannabis consumption and a star-studded lineup, including Damian & Stephen Marley, De La Soul, Umphrey's McGee and more. Second, we strongly believe in the future of THC drinks, especially as alcohol consumption continues to decline. To strengthen our position in this category, Green Thumb became a major investor in Agrify Corporation, and we are supporting growth for its Señorita THC Margaritas by securing distribution at top retailers, establishing notable partnerships and event presence and driving awareness in our direct-to-consumer channels. We are now supporting Agrify's next step to further expand its presence in the drink category by licensing Rythm THC beverages to Agrify, bringing the Rythm Lifestyle to more Americans in a new fast-acting format. Rythm Beverages come in 2 bold formulations designed to match your mood. Rythm Sativa fuels your day with an uplifting blend of THC and naturally sourced caffeine, delivering a smooth energizing boost and Rythm Kush helps you unwind with the common mix of THC, CBD and other goodies crafted to relax the body without clouding the mind. Both drinks hit shelves in mid-July in Illinois and New Jersey and direct to consumers via rythmdrinks.com. And for those of you on the phone now for the next 24 hours, if you use the code Drink Rythm 25 on the site, you get a 25% discount on your first order and a big thank you from Anthony. We had the opportunity to share Rythm Drinks with attendees at Bug Ball Chicago, and they were a home run. We look forward to introducing Rythm beverages to more markets in the coming months and having them available at the Miracle in Mundeleine this September. Finally, we will continue to innovate with our brands, form meaningful partnerships and carefully manage our balance sheet, which gives us the flexibility to be opportunistic, especially in this capital-constrained environment. We have the best team in the business to continue moving our plan forward, and we thank them all for their hard work. Next, I'll turn the call over to Anthony to review operations. Anthony?
Anthony Georgiadis: Thanks, Ben. As you just heard, the team delivered another strong quarter, generating $293 million in revenue and $83 million in EBITDA, a 5% sequential increase in top line growth. Let me walk you through a few key developments from Q2 and where we're focused for the back half of the year. First, CapEx. We invested $19 million in capital during the quarter. Retail investments include store relocations, renovations and openings in Pennsylvania, Minnesota, Ohio and Florida. On the wholesale side, we made selective investments with a focus on expanding capacity and efficiency. While we still anticipate full year CapEx to approximate $80 million, our threshold for new spending remains high and will continue to be. Second, CPG market share. As we discussed last quarter, we continue to lean into markets and verticals where we see room to grow. Since the start of the year, we've grown our CPG market share in key states, including Illinois, Pennsylvania and New Jersey. While the foundation of our brand strategy remains Rythm premium flower, we are encouraged by our share gains within the pre-roll and vape categories. This will remain a strategic focus for us going forward. Third, adult-use opportunities. The company remains focused on its adult- use opportunities in Minnesota, Pennsylvania and Virginia. Minnesota is expected to launch adult-use sales this fall, and our team is ready. In parallel, we are active in Pennsylvania and Virginia, educating decision-makers on the various adult-use frameworks that have experienced success and failure. We remain cautiously optimistic that either Virginia or Pennsylvania will pass adult-use legislation in the next 12 months. Last, near-term outlook. Overall, we remain cautious about the near-term outlook for our business and the industry. The challenges we previously highlighted include systemic price compression at both wholesale and retail, largely due to increased competition and oversupply, regulatory uncertainty, whereby regs surrounding hemp and cannabis make it very difficult to allocate capital with a long- term lens, and macroeconomic pressure with consumers feeling the squeeze amid widening wealth disparity. And while the outlook on rescheduling has improved, rescheduling alone does not address these systemic challenges. To combat these pressures, we are doubling down on the fundamentals, operational discipline, brand strength, scale and a well-capitalized balance sheet. Our strategy is simple: put the consumer at the center of everything we do. THC demand in the U.S. is not only growing, it's diversifying as new formats and channels for consumption rapidly emerge. Over the long term, we're confident in both our team and our approach. We believe we're well positioned to navigate near-term headwinds while staying in lockstep with the evolving U.S. consumer, one who is increasingly discovering the many ways THC can enhance their lives. Before I close, a quick reminder. Our third miracle in Mundeleine takes place September 6 and 7. This 2-day groundbreaking music festival is held at our Mundeleine, Illinois dispensary and allows for open cannabis consumption. It's going to be a vibe and we hope to see you there. With that, I'll turn the call over to Matt to review our financial results.
Mathew Faulkner: Thanks, Anthony, and hello, everyone. In the second quarter, we delivered over $293 million in revenue, a 5% increase compared to the prior year period. Revenue was driven by increased consumer packaged goods sales. Overall, retail revenue was up slightly versus the second quarter of 2024 due to new stores, offset by significant pricing pressures across all markets. Second quarter 2025 comparable sales for stores opened at least 12 months decreased 4% versus the prior year period on a base of 91 stores due to continued price compression. Consumer packaged goods net revenue for the second quarter of 2025 increased 17% versus the prior year period, driven by continued growth in New York and the addition of adult-use sales in Ohio. Looking forward, we expect third quarter sequential revenue to be flat to down low single digits, assuming the launch of adult-use in Minnesota does not occur in the third quarter. Gross profit for the third quarter was $146 million or 50% of revenue, down from $151 million or 54% of revenue year-over-year. The decrease in gross profit was primarily driven by price compression. Turning to OpEx. Selling, general and administrative expenses for the second quarter were $107 million or 36% of revenue compared to $97 million or 34% of revenue for the second quarter last year. The increase in total expenses was primarily attributable to an increase in comp and benefits expenses. SG&A, excluding depreciation, amortization, onetime transaction costs and stock-based comp, which we refer to as normalized operating costs, approximated $74 million compared to $67 million in the second quarter of last year. The increase year-over-year is mainly attributed to the 14 incremental retail stores, along with increased cash-based compensation incentives. The company incurred a net loss of $1 million or $0.01 per basic and diluted share, down from net income of $21 million or $0.09 per basic and diluted share in the prior year due to the $12 million loss on asset sale. Excluding this loss, net income would have been $11 million or $0.05 per share. Adjusted EBITDA, which excludes noncash stock-based compensation and other nonoperating costs, was $83 million, down from $94 million for the second quarter of 2024. Part of the decline is due to the shift in long-term incentives to a larger cash portion, which impacted SG&A and adjusted EBITDA. We expect to continue to experience pricing challenges that will keep margins and adjusted EBITDA to below 30% in the coming quarters. We ended the second quarter with a strong balance sheet, including cash of $177 million and working capital of $226 million. Cash flow from operations for the quarter came in at $56 million. In conclusion, we're pleased with our team's performance so far in 2025 and appreciate their ongoing commitment and contributions to Green Thumb. Together, we remain committed to driving long- term growth while ensuring prudent capital allocation and cost efficiency. With that, I'll kick it back to Ben.
Benjamin Kovler: Thanks, Matt. As we move into our second decade of operations, we are proud of what our team has built and the dedication and commitment they bring to work every day. I firmly believe that our team is our biggest differentiator and our greatest asset, and I want to thank everyone for their hard work. We are optimistic and energized about the opportunity ahead. That said, we will take a pause in holding quarterly conference calls. Green Thumb is long-term focused on creating value. And given the obstacles to wider investor support that we have repeatedly discussed, we see the market is not focused on and does not recognize the fundamentals of the business quarter-to-quarter. I think this is a practical and realistic decision and importantly, we'll be back when the timing is right. In the meantime, we will continue to fully communicate through our quarterly press releases, securities filings and other announcements. We will continue to provide robust written disclosures, and our team will continue to be available for analysts and investors as requested. For now, know that we're working hard to build long-term value for our shareholders. Thank you all, and now I'll pass the call back to the operator for questions.
Operator: The first question comes from Pablo Zuanic from Zuanic & Associates.
Unidentified Analyst: This is Rahul on for Pablo. We have 2 questions. So first, we have. Can you talk about any changes you have made in Minnesota regarding cultivation capacity, product assortment expansion, store relocations or refurbishings? And the second one would be, are you gaining wholesale share in New York State? If yes, could you give any color in terms of distribution penetration and products and brands sold?
Anthony Georgiadis: Sure. Both really good questions. It's Anthony here, and I'll take them both. The first answer on Minnesota is yes. We've done all the things that you kind of mentioned. We have expanded capacity that was completed last year. We have renovated as well as relocated some stores to kind of give them ready for use conversion that I mentioned in my prepared remarks was we expect to take place this fall. And then we have increased effectively our brand offering through additional SKU registration. So we did all that work in advance. And since then, we've been focused on staffing and training, and we're ready for the game to start in Minnesota. In New York, we've seen a lot of -- we've seen nice growth on the CPG side of the business. Retail has taken a bit of a hit as more stores have opened up. The data for New York is a bit murky. However, what we can see is that we're confident in is through our own lens, which is how many stores are we shipping to, what are total sales and what's the total amount of biomass that we're moving into the CPG channel. fortunately, all 3 of those charts are up into the right. My guess is we'll have probably more detail on how that continues to evolve in the coming quarters. But so far, we're pretty excited about the progress that we've seen in New York and super excited about the rest of the year.
Unidentified Analyst: Got it. And can we add one more? Are you able to sell your Delta-9 drinks in your dispensaries?
Benjamin Kovler: Are we able to sell Delta-9 drinks in our dispensaries? Yes, as a finished good, the manufacturing process has to be different by state. So it's not sourced from the same place, but it's the same end product. A perfect example of the real conundrum in today that makes really no sense.
Operator: The next question is from Bill Kirk with ROTH Capital Partners.
Unidentified Analyst: Yes. This is Nick on for Bill. Just one for me on New York and the zoning miscalculations there. It looks like over 100 locations may have to be moved and another 44 pending now don't comply. I'm just wondering if you've heard anything incremental around what may happen to these locations and just your sense for the near-term future of New York and how they'll kind of resolve this.
Anthony Georgiadis: Yes. Anthony here, another good question. It's murky, right? We -- we saw the announcement. We kind of scratched our heads like everybody else. It sounds like there's a couple of ways this could evolve and play out. One could be a legislative fix that would kind of solve the issue so that folks would not have to move. The other is we've heard that they've offered up some sort of payment to compensate folks for the amount of work that they would -- that they're going to have to embark upon to move their stores. Unfortunately, the comedy of errors in New York just kind of continues, and this is just reflective of really what we've seen with that rollout since it really took place. Fortunately, for us, none of our stores are impacted, but our hearts do go out to those that are impacted because we know we can only imagine kind of the emotions when they got that notice from the state.
Operator: The next question is from John Chapman with Alliance Global Partners.
Unidentified Analyst: This is John on for Aaron Gray. So I know you touched on in the prepared remarks on the Agrify licensing agreement, but could you provide some more color around the strategy you're looking to deploy, leveraging your cannabis brands to the THC hemp market, allowing for potential national distribution as seen with Rythm Hemp THC beverages? And how are you aiming to approach this strategy given the federal legality uncertainty that remains?
Benjamin Kovler: Yes, it's a great question, John. It's Ben. I think it's insightful. Look, we think we've built real brands. and we now have an opportunity to operate with the Rythm brand not constrained by Schedule I, Schedule III or anything like that. It's fully legal. It's farm bill compliant product, and we can act that way. And we plan to, and we are. And it's really just the beginning, and it's really quite an exciting time because the common denominator like the question a second ago is the end product is the same. We know consumer demand. We know what consumers want. We know how to make consumers feel really good with THC. And so now it's just a continuation of that. So we're able to take advantage of these sort of capital market anomalies, lower our cost of capital, invest appropriately to build brands Americans love, same strategy in products that are now available in thousands, literally thousands of locations overnight that has never before been possible in what was called marijuana that I don't even really know what that is anymore because of how murky the rules are and the definitions. But we're all in on the investment, and we love what's going on in the landscape because we see consumers' reaction to the product, and it's amazingly positive. So you're invited and everybody is invited out to the Miracle Mule line coming up in a few weeks or any of our other events or onto the Rythm site to buy the drinks and see what you think, but we're excited.
Unidentified Analyst: Great. And high level, with wholesale, it's continued to grow year-over-year and put the analytics data indicates has performed well in the past few quarters. Is there maybe some more color on how much of this has been driven by expanded distribution in third-party doors versus greater velocity in existing doors? And maybe any other color you can provide on third-party credit risk as AR risk has been recently called out by some of your peers?
Anthony Georgiadis: Yes. Another really good question. The vast majority of the CPG growth we've seen has been through third-party doors. We already had healthy verticality kind of coming into the year. And so we really didn't have a lot of kind of room to grow that verticality within a number of markets. And so really focused on third parties and really leaning into a number of kind of key states, right? I talked about in my prepared remarks, we've seen nice share gains in Illinois, Pennsylvania, New Jersey. We've added a lot of new doors in New York. And it's something that as the retail business has softened, it's an area that we've really focused. But the other thing that we're constantly kind of tracking is the velocity and how fast kind of the SKUs are turning both within our doors as well as third party. And so what we're seeing is that the velocity is also increasing, which is super exciting because we know that's the way we can continue to kind of drive the business forward. So team has done a really nice job and come to see what they can do in the back half of the year.
Operator: The next question is from Brenna Cunnington with ATB Capital Markets.
Unidentified Analyst: Just curious on your thoughts on like what we're seeing in the market with some companies going under and restructuring.
Benjamin Kovler: Sure. I'll take that. Thanks. It's Ben. Always remains interesting. I think the headline is we're being measured. We're opportunistic, but several bankruptcies, restructurings or whatever words you want to use means there's massive sale of assets going on as equity values are gone. And so we are being as opportunistic as we can, at the same time, not wanting to inherit other problems, understanding tax issues, dealing with folks, things like that. Do not look for us to do a transformational deal. We're being more surgical, strategic on what can help us, where we can measure the ROI. Keep in mind, our business trades at a very low multiple. So we're not likely to do a deal at a higher multiple, and it's hard to trust the low multiple and find a deal that will work. So we're very active, but it's hard to get things over the line. It's a difficult industry. But we're here, and we're talking to folks.
Unidentified Analyst: Understood. So kind of as a follow-up to that, with regards to your capital allocation priorities, what would you say the top 3 priorities are for the excess cash on hand? And is expansion to international markets a potential?
Benjamin Kovler: Sure. I can take that. It's Ben again. We're watching international. We're studying it. We're going to go back and listen to the conference call that's going on now to learn more. And I still think our capital -- it's hard for me to get my head all the way around the return on invested capital overseas. We think we're building brands Americans love and eventually, that's going to create material value for shareholders. And we see that happening in Europe, and we think it will happen in other places. But today, that's not high on the list. Uses of capital are always have enough cash on hand to be able to sleep very well. We understand our debt. We love our balance sheet. And we're investing in the facilities. We're investing in growth. We're investing, as Anthony talked about in Minnesota and New York and other places. We're ahead of the adult-use markets in a couple of states as they come, hopefully, Virginia. And then we have funds looking for strategic M&A that could make sense. But we're okay sleeping with a lot of cash, excess cash.
Operator: The next question is from Andrew Semple with Ventum Financial.
Andrew Semple: Just a single question, but I'm going to leave it pretty broad. I imagine the world will look a bit different for the cannabis industry next time we circle up for a GTI earnings call here. So I was hoping that you could leave us with a 2- to 3-year road map to the extent that it's possible to do so in an ever-evolving cannabis industry. In short, what are some of your most important strategic objectives for the next few years so that we have a checklist of things to evaluate the business on as investors and analysts. over the next few years here. Where do you -- where are the strategic priorities for the business?
Benjamin Kovler: Great. I can take that. It's a good question. Maybe the last, I don't know if anybody else is in the queue. But I'd say the headline answer to that is what is the power of our brands? Where do they exist? -- who knows about them and what do they mean? And what do they mean? What is the awareness factor? What is our pricing power heads up against anybody else, what's that distribution look like and how are we doing? Headline 2 would be what's the balance sheet. If we've got a balance sheet that's in a precarious position, things did not go well. So we want to keep the balance sheet well under control, rainy day situation. We feel really good about what we're doing. And I think the third check-in would be -- and again, we're going to have annual meetings, and we're available for anybody to ask any questions, and we invite everybody to come to the annual meeting is how is the team doing? -- the secret to our success is the team. I've mentioned that over time. We really believe in it. We're investing in the team and keeping the team together, there's obviously going to be changes over time, but making sure that people are working, liking where they work, having a good time and enjoying what we're up to remains key to what we do. So brands, balance sheet, team.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Ben Kovler for any closing remarks.
Benjamin Kovler: Thanks, everybody. Those of you who have been with us 29 conference calls in a row. We appreciate that. Two of you are out there. We noticed that. We like it. And we will be live at the annual meeting coming up in June. Look forward to that. Bu luck, everybody. It should be an interesting fall. Enjoy the rest of your summer. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.